Operator: Good morning. My name is Maria, and I'll be your conference operator today. At this time, I would like to welcome everyone to the LAN Airlines Fourth Quarter 2011 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Melanie Carpenter of i-advize Corporate Communications. Please go ahead.
Melanie Carpenter: Thank you, Maria. Good morning, everyone. Welcome to LAN Airlines Fourth Quarter 2011 Conference Call. Today, LAN airlines management will be discussing their earnings release for the press release distributed yesterday afternoon. This call is for analysts and investors only. If you're a member of the media, we request that you refrain from asking questions and contact LAN Airlines directly. If you have any difficulty during this call or have any questions, please contact i-advize in New York at (212) 406-3695. Please note that certain statements regarding the company's business outlook and anticipated financial results constitute forward-looking statements. These expectations are highly dependent on the economy, the airline industry, international markets and therefore are subject to change. And at this time, it's my pleasure to turn the call over to Mr. Alejandro de la Fuente, LAN's Chief Financial Officer for his presentation. Please go ahead, sir.
Alejandro de la Fuente Goic: Thank you, Melanie. This is Alejandro de la Fuente, Chief Financial Officer of LAN, and with me here in Santiago are Nicolas Goldstein from our Passenger division; Fernando Bolterin [ph] from our Cargo business; Andrés del Valle, our Corporate Finance Department; and Gisela Escobar, our Investor Relations Officer. We hope that you have all been able to access the webcast presentation that is available on our website for a better understanding of our results for the fourth quarter and full year 2011. Okay, on Slide 4, you can see the main highlights of LAN's results for the quarter and for the full year 2011. In the fourth quarter, LAN reached $113 million of net income and 11% operating margins. Results were impacted by various effects which have had an ongoing impact throughout the year. These include a $21 million loss related to the startup of LAN Columbia, $10 million impact from the volcanic ash resulting from the eruption of the Puyehue volcano in the South of Chile, and the $5 million in costs related to the merged transaction with TAM. Nevertheless, solid demand on both passenger and cargo markets provided the basis for our 18% increase in revenues, allowing LAN to offset part of the 29% increase in fuel prices. Turning to Slide 5, you can see in more detail the variations in our operating margin for our fourth quarter 2011. Fuel prices increased 29% compared to fourth quarter 2010, generating $99 million in high-yield fuel costs, excluding the impact of fuel hedging gains. Such impact was partially recovered through increased revenue per ATK mainly due to higher yields and higher system load factors, including both passenger and cargo ratios. Passenger yields increased 9% and Cargo yields increased 5%. The start-up process of our Colombian operation continue to have an impact this quarter, generating $21 million in operating losses. However, this loss includes $7 million in one-time costs related to the early termination of contract with third-party suppliers and costs related to the return of Chile's Boeing 737-700s. Excluding these costs, the $14 million operating loss of LAN Colombia also reflects the impact of the cutover of LAN's inventory and distribution systems, which occurred in December 2011. This required training Colombian personnel and had an impact on sales and booking processes during the cutover period. Finally, during this quarter, we also recognized $10 million in losses related to the ongoing effects on the volcanic ash cloud, and $5 million in costs related to this transaction with TAM, mainly advisory and legal fees. Turning to Slide 6, you can see that most of this impact followed the same trend that we have seen during all of 2011. Operating margins also in '11 reached 9.4%, a 4-point decline over 2010. Fuel prices in 2011 increased 13% generating $455 million in high-yield fuel costs, excluding the impact of fuel hedging gains. Such impact was partially recovered through increased revenue per ATK mainly the 11% increase in Passenger yields and the 10% increase in Cargo yields. Nevertheless, these results reflected impact of one-time effects throughout the year. The successful start-up process in our Colombian operation generated $52 million in operating losses. The ongoing effects of the volcanic ash cloud have generated $37 million in losses between June and December 2011. In addition, the company has incurred an approximated $50 million related to the transaction with TAM, mainly advisory and legal fees. Taking a closer look at Passenger operation this quarter, on Slide 7 you can see detailed evolution of the most significant operational statistics. We'll continue to see the solid traffic trends in most markets. Traffic grew 10.8% while capacity increased 13.3%. Consequently, load factors decreased 1.8 points but remained high at 79.9%. Yields showed an increase of 9.1% for fourth quarter 2010. That continues to expand passenger capacity throughout its network. As you can see on Slide 8, Passenger capacity growth reached 13.3% this quarter. Capacity increases focused mainly on domestic routes within Chile, regional routes within Latin America and local routes to the United States. This expansion was partially offset by decreased capacity for local routes to Europe as a result of itinerary changes implemented in 2011, such as the cancellation for the route between Madrid and Paris in July 2011. Growth in the regional business has been driven by the continued strengthening of LAN's hub in Lima, through which the company has focused on generating more connectivity within South America. Growth in the domestic Argentina business this quarter is a result of a weak comparison basis in fourth quarter 2010, partially offset by the ongoing effects of the ash cloud. Nevertheless, the reduction in the volcanic activity in the region has allowed for the reopening of the airport in Bariloche, is today a destination for tourists in Argentina after a 6-month shutdown. Although a lot of passenger capacity expansion remains highly diversified, which provide us with significant flexibility to adjust capacity deployment to the demand conditions in different markets. On Slide 9, I would like to give you an update of our Colombian operation. During the first half of this year, LAN focused on restructuring the Colombian operation with the objective of implementing LAN's safety and service standards. During the second half, we have been able to see the effect of the successful turnaround process. We tried to increase from 55% in 2010 to 79% in 2011 for the Boeing 737-700 operation. Reliability reached 98%. It was reflected in improved passenger satisfaction. LAN Columbia expanded capacity in the domestic market by 5% in 2011, maintaining 20% market share. Yields increased 25% and load factor reached 72.8% for 2011, closer to the levels of LAN's stronger domestic passenger operations. In December 2011, we rebranded AIRES in LAN Columbia. The focus now is on integrating the Colombian operations into the rest of LAN's regional and international passenger and cargo network. Most operations are getting closer to profitability reaching breakeven during high season periods such as June and July. Looking into 2012, we expect to further benefit from the turnaround process that took place during 2011 by significantly improving LAN's Columbia standards and by working with travel agencies in Columbia, we expect to continue to improve yields in the domestic operation. Also during 2012, we are starting to phase out the first 3 Boeing 737-700s passenger aircraft operated by LAN Columbia replacing them with LAN's Airbus A320s. Through these initiatives and by consolidating LAN's presence in Columbia, we expect to reach breakeven for our Colombian Passenger operations for full year 2012. Turning to Slide 10 on the Cargo side, we continue to see healthy cargo markets in the region. Cargo traffic increased 10% while capacity rose 9.8%. This led to a 72% load factor, slightly higher than 2010. The company leveraged the 3 additional freighter aircraft incorporated between November 2010 and January 2011 to add capacity on routes from Latin America to North America and Europe. LAN Cargo continues to focus on the profitable growth and to strengthen our market position in the region. Improved revenue management and practices and optimization of itineraries led to an increase of 5.2% in Cargo yields during the quarter. As a result, Cargo unit revenues increased 5.4% in the quarter. During the quarter, the growth of import flows to Latin America continued, but weaker cargo markets globally have driven additional competition to South America, especially the SEAE and have also resulted in higher competitive activity within the region. On the other hand, export volumes have recovered partly driven by the gradual resurgence of salmon exports. On Slide 11, you can see in detail LAN's cost for the fourth quarter. Total expenses increased 25% in the quarter, mainly due to the consolidation of the Colombian operations. On a per unit basis, cost per ATK increased 15.7%. Excluding fuel, cost per ATK grew 7.7%. The main cost increases were related to higher fuel costs and higher aircraft rental and maintenance expenses due to the incorporation of LAN Columbia. Excluding both fuel and LAN Columbia, cost per ATK increased only 1.6% in fourth quarter 2011. Fuel costs for the quarter increased 47%, mainly driven by a 28.8% increase in prices and an 11.6% increase in consumption. In addition, LAN incurred only $0.2 million fuel hedge gain compared to a $6.9 million fuel hedge gain in the fourth quarter of 2010. On Slide 12, you can see LAN's financial highlights for the quarter. We continue to maintain a solid financial position taking solid financial ratios due to LAN's strong cash flow generation as reflected by the $322 million EBITDAR generated during the quarter. LAN ended the quarter with $473 million in cash and cash equivalents, representing 8.2% of revenues. Additionally, we wanted to enhance our liquidity position. We have to secure long-term committed credit lines with banks for $208 million. As of December 31, 2011, we have $998 million in PDP deposits, 53% of which were funded directly by LAN. As a result of our consistent financial strategy and solid balance sheet, we maintained our BBB international credit rating confirming LAN's position as one of the few investment grade airlines in the world. On Slide 13, you can see our fuel hedging position for the upcoming quarters. Our financial hedging strategy, in addition to our fuel surcharge policy applied in both Passenger and Cargo operations, which allow us to recover a significant percentage of high-yield fuel costs. So far, we have hedged approximately 34% of the estimated fuel consumption for the first 3 quarters of 2012, excluding approximately 49% of the estimated fuel consumption for the first quarter of 2012. Swaps are at an average price of $92.2 per barrel, while Collars are on an average between $71.6 and $95.7 per barrel. Now, I would like to discuss LAN's strategic initiatives and future outlook. We continue to advance on various long-term initiatives to take advantage of global opportunities in the region. On Slide 15, you can see our net fleet deliveries for the coming years. During 2012, LAN expects to receive 12 Airbus A320 Family aircraft to operate domestic and regional routes, as well as 9 Boeing 737-300s. We will also take delivery of the first 2 Boeing 787 Dreamliners becoming one of the first airline in the world to operate this smaller and efficient aircraft. During 2012, the company's fleet plan also includes the sale of 5 Airbus A318s and the return of 2 leased Boeing 737-300, while also returning 3 of the Boeing 737-700s operated by LAN Columbia. Regarding the Cargo fleet during 2012, the company expects delivery of 2 Boeing 777 freighter aircraft during second half of the year. Overall, we are confident of the significant growth opportunities we have in domestic and international markets in Latin America. Given the geographical diversification of LAN's operation, we always have a certain amount of flexibility regarding where to deploy additional capacity. In addition, we have staggered expirations of freight releases [ph] and Japanese Super 8 [ph] releases with a certain amount of expirations coming due each year. Finally, as a result of -- as of last year, we have certain Boeing 737 passenger aircraft, which are now fully financed and unencumbered, providing additional flexibility of our fleet plan. Please turn to Slide 16 to see our estimates for ASK and ATK growth for 2012. In our Passenger operations, we expect capacity growth of between 12% and 14%, driven by a net increase of 13 passenger aircraft in our fleet, including the first 2 Boeing 787. On the Cargo side, our target for Cargo capacity growth in 2012 is between 7% and 9%, driven mainly by the addition of two 777 freighters during the second semester. For 2012, we expect to continue showing healthy growth in our ratios and maintain high margins relative to our industry peers. Result will strengthen especially during the second half of the year as we benefit from improved profitability in Columbia and near-opportunities in the Cargo business. Overall, we continue to see strong, positive trends in both the Cargo and Passenger operations, and we are confident that the coming years will present important growth opportunities. LAN is well positioned to benefit from expansion opportunities in the markets it operates, while maintaining our flexibility and diversifying business model and strong financial positions. Finally, I would like to give you an update on the merge -- merger with TAM. Please turn to Slide 17. LAN and TAM have successfully advanced in meeting all the requirements of the completion of the merge -- of the merger. During the fourth quarter 2011, the transaction received the approval of CADE, the SEAE's antitrust authority and last of the antitrust approvals necessary for the merger, the last complete antitrust approvals necessary for the mergers. On December 21, LAN held a shareholders’ meeting where the transaction was approved by a 99.9% majority. TAM's shareholders meeting was held on January 3, where TAM shareholders unanimously approved the appraisal report of Banco Bradesco, BPI S.A. regarding the exchange rate ratio of shares between the 2 companies. We have advanced on filing the transaction with the relevant securities authorities. On November 15, 2011, we got preliminary version of the Form S-4, was filed with the SEC. On January 18, 2012, a preliminary version of the terms and conditions of the exchange offer was filed with Brazil's CVM. LAN will launch the exchange offer, probably after all the required registrations when securities authorities are complete. This is provided that Chile's Supreme Court has resolved LAN's pending appeal regarding the mitigations imposed by the TDLC. The company expects this will occur before the end of the first quarter 2012. We do not expect the Supreme Court to delay its resolution beyond March. If we obtain a resolution in March, the exchange offer will be launched at the time -- at that time, and the merger would close in April. In this case, we will expect to report consolidated results for LATAM for the second quarter 2012. And we will begin generating synergies in May 2012. If the Supreme Court decision is delayed later than March, well, we'll have to reevaluate this timetable. But remember, that the mitigation measures we are appealing do not have a significant financial impact on the synergy value. And LAN remains committed to closing this transaction. On Slide 18, you can see the details of the updated synergies generated by the merger between LAN and TAM. During the quarter, LAN and TAM announced and provides estimates for the synergies expected to be achieved through the merger, the combination -- the combined synergies arising from the proposed combination could increase LATAM groups and all operating income over time by between $600 million and $700 million before depreciation and taxes, beginning 4 years after completion of the transaction. This represents a 50% to 75% increase over the initial synergy estimates of $400 million per year, which the companies announced in August 2010. Of the total expected annual pretax synergies between $170 million and $200 million may be achieved within the first year after the completion of the transaction. We estimate one-time merger costs of $170 million to $200 million. We also expect to benefit over time from $150 million in reduced investments in spare parts and engines. One of our concerns is the credit rating of LATAM group. This is something where we'll start working on after day one, when we are able to analyze in detail the CapEx, seat planning and creation of both companies together. We expect to discuss with the rating agencies how to mitigate any negative impact on the consolidated credit rating. We also believe it is critical to show execution of the expected synergies from the transaction as quickly as possible. The controlling shareholders remain fully committed to maintaining investment grade credit rating of LATAM group and would evaluate the necessary measure to improve liquidity, leverage and margins. Overall, we are working hard to complete the merger with TAM and believe we are on track to launch the exchange offer as expected by the end of this quarter. Now, we will be pleased to answer your questions.
Operator: [Operator Instructions] Your first question comes from the line of Michael Linenberg of Deutsche Bank.
Michael Linenberg: I guess a couple of questions here. With respect to your CapEx, it looks like the 2014 CapEx number has been taken up a bit, at least of the last go around. It looks like it's $300 million to $400 million higher. But it looks like that the future fleet doesn't really change all that much. Does that reflect PDPs tied to additional 787s in 2015 and beyond? Can you give us some color on that?
Andrés del Valle: All right. Andrés del Valle here. The CapEx, it has been reshuffled a bit, but it's based in the same CapEx, is the true CapEx has been changed, number one. And the CapEx figures that we have provided, they do not include any PDPs. So I don't know the right response to your question.
Michael Linenberg: Okay, so they've been shuffled. Then my second question, there was news out yesterday about, it was released by American, that the LAN group of airlines was going to be -- was going to move into Terminal 8 at New York's JFK Airport. Should we read into that, that LAN is moving -- LAN TAM or LATAM will be more likely to be a one world carrier? Is that an appropriate to read into that, number 1a? 1b, what is the timing on the alliance decision? The reason I'm asking is that, at one point, it seemed like it was going to be sometime in early 2012, and then I think recently a LAN executive had indicated that the announcement of an alliance or an alliance strategy would not be revealed until late 2012. Has that timing changed?
Nicolas Goldstein: Okay, this is Nicolas, I accept to answer the first part of your questions. This is not related to any alliance. The decision of moving from one terminal to the other was made before any other decisions. So it's part of our operation, day-to-day. And second, any -- timing is after the closure of everything.
Alejandro de la Fuente Goic: In summary, the change of terminal is a matter of cost and better service to our passengers. It's not related to the merger. And we will start analyzing the alliance after this one. And we need some time and unlike the contract in [indiscernible].
Michael Linenberg: Okay, good. Just lastly, just to confirm, everything is on track for a close in late March, even if the court case, the resolution goes beyond the March quarter, you will still proceed, right? I just, I wanted to make sure that I heard that correctly.
Alejandro de la Fuente Goic: Well, the thing is we expected in January the decision of the Supreme Court. But we received the announcement that they will postpone for the first -- second week of March because second week is vacation, it's closed, the Supreme Court. So we expect to receive the resolution the first or the second week. We don't expect more delays on that. But after that, we will start the interchange of the exchange offer. Only if there's a delay, another delay for the 3rd or 4th week of March, that's really lengthening into another 2 weeks. But that's why I explained that there is a potential consolidation for the second quarter and not this quarter, and not within time of the second quarter.
Operator: Your next question comes from the line of Nic Sebrell of Morgan Stanley.
Nicolai Sebrell: I wanted to ask first about the RASK growth that we saw. How do you attribute that between demand, change in currency and maybe any other effects? I was curious to -- if you could answer that? And then second, how you expect that might continue into 2012? It's a -- as a contrast to what we're seeing in other parts of the globe, obviously, with rising yields, improvement in RASK, and I was wondering what kind of strength you are seeing in forward bookings right now? And then a question on the fleet. I think you are -- you were talking about taking 737s out of Columbia and replacing those with A320s. Are you replacing them on a one-for-one basis? Or is there a possibility of decreasing or maybe increasing the size of the fleet? Those are my 2 questions.
Alejandro de la Fuente Goic: Look, what we see is a strong positive trend in the Passenger operation, so markets are still growing in 2 digits here in Latin America. We are taking the benefit of this, including yields, keeping our load factor really high and increasing the revenue per ASK. So similar to last year and during a high fuel, if fuel is going to stay high, we see many opportunities and we are in a great position to take these opportunities. And we are bold on taking these between '12 and '14 growth for next year in the international passenger business and domestic business.
Nicolai Sebrell: Okay, so it is demand-based and not necessarily a change in the Chilean peso or one of the other currencies that might be coloring the change in yield?
Alejandro de la Fuente Goic: No. We don't see like the benefit on the currencies. We see pure demand on the market, and how we serve the market, and how we're going to be able to serve the markets later on with LATAM mostly.
Nicolai Sebrell: Great. And regarding the fleets, particularly the Colombian exchange of 737s to A320s?
Gisela Escobar: Yes, in Columbia, the exchange, what we have been able to anticipate, the return of three 737-700s, and those are being replaced one-for-one with A320s. But there is still growth there because the A320s have a better configuration than the 737-700. So in general...
Nicolai Sebrell: Right, exactly. And that's exactly what I was asking about. Since it's a bigger plane, I was wondering if there's opportunity to reduce the number of jets, or if that's part of your plan to grow the capacity in Colombia?
Gisela Escobar: Yes. We are planning to grow the capacity in Columbia next year by between 10% and -- in the range of 10% ASK.
Operator: Your next question comes from the line of Tais Correa of Goldman Sachs.
Tais Correa: If you allow me, I have 2 questions for you today. So the first one is regarding the merger process. If you could provide a little bit more detail and color for us to -- as to where you stand on the TDLC appeal? And if you had some news, recent news on this process? And also if you could comment on the filing you made in -- at CVM, what are the next steps that you expect from the regulators before you can finally launch a final version of the document? This the first question. And then the second one, has to do with your Cargo business. In the release, you mentioned you improved yield management techniques and optimized itineraries, IATA statistics show the global cargo market shrunk about 4% until November in last year. But your activities in Latin America actually grew a lot, so how do you see these trends going forward with economic difficulties faced by developed markets and increasing competition from cargo carriers from abroad? These are my 2 questions.
Alejandro de la Fuente Goic: Well, as I mentioned in regard to the merger, we are advance in meeting all of the good requirements. The only process that we are pending, is the Supreme Court. That we expect to obtain a solution on the last week of January, but it was postponed for the first or second week of March. That's the only delay that we expected. We have the possibility of -- we have been advised of this possible delay. But everything is okay, we are filing the S-4 on the SEC. We are answering the question in -- a lot of questionnaires. The same, we are filing with the Brazil CBL. And everything is on track. So we expect to hurry to start the exchange offer at the last week of March or the first week of April. That's been -- we are thinking that early consideration of the LATAM group will be for the second quarter of 2012. And the most Cargo?
Unknown Executive: Okay, this is Fernando [ph] from the Cargo business. As we said, we have seen this year a solid demand growth both in the imports from the U.S. and Europe and also the exports from our region. And we expect that trend to continue running out at the same pace, at a slower pace but still solid. And in the supply side, we have already seen an increase from competition both from the U.S. and from Europe. And we expect that, that may continue but probably again not at the same pace because that already happened mainly during the second half of this year. And with that, we have been able to maintain our growth, our load factors and yields. And therefore, we expect the environment to be in, equilibrium, if we could take with load factors and yields at same levels we have today. Obviously, unless there are fuel environment changes when prices will change as well.
Operator: [Operator Instructions] Your next question comes from the line of Stephen Trent with Citi.
Stephen Trent: Most of my questions have been answered. Just 2 follow-ups, if I may. The first pertains to the Supreme Court hearing for the merger. Could you just refresh my memory as to the main items you are contesting? This pertains to some fair caps and the fifth freedom traffic rights restrictions that you have through Peru, is that correct? And then just the second question, just if you could give us a little color as to the passenger airline competition, where you're expecting, let's say, the most heat? I see Avianca Taca placing orders. We see Delta Airlines kind of poking around the region here and there. So if you could give us your views on passenger airline competition going forward, that would be great.
Gisela Escobar: Okay. Hi, Steve. Regarding the issues that we have appealed to the Supreme Court, as you recall in the TDLC's approval of the transaction, they imposed 14 measures that LATAM group would have to comply with. Of those, we are appealing 3 before the Supreme Court and those 3 basically relate to -- the first relates to the fact that we need to present for approval of the antitrust authority any code share agreement, that LATAM group reaches with airlines outside of its chosen alliance. The second one is a measure that requires LAN to offer to another Chilean airline 4 of its fifth freedom frequencies between Chile and Peru and onto the United States. And the final measure is one that requires LATAM group to hire a consultant that would have basically has unlimited access within the company in order to review compliance with the antitrust -- with the TDLC's requirements. So that's currently being reviewed. There were -- already the hearings occurred in December. It's currently being reviewed by the Supreme Court. And as Alejandro mentioned, we expect the issue to be resolved during March.
Nicolas Goldstein: This is Nicolas Goldstein. About competition, yes, we see more competition here on the region because the region is growing, one of the few regions growing. But as we did before, we are growing more than our competition. In capacity, we are taking advantage of our strong position in domestic markets to sale and to drive these competition probably and to lead the market. So -- yet there are some companies having frequencies. There are some companies, okay, with orders of planes, but we are moving ahead of this and we are taking advantage of this.
Operator: Your next question comes from line of Daniel Spilberg of Barclays Capital.
Daniel Spilberg: My question is related to the integration of LAN Columbia this year and in the fourth quarter. You mentioned during the press release that it had a negative result of $21 million. But that is the net result if I understood you correctly. Could you provide us the amount of nonrecurring expenses related to the integration in the quarter and in the year?
Gisela Escobar: Yes, well, of those $21 million, there's $7 million that are one-time because they are basically related to payments made to third parties because of early termination of contracts and because of this anticipated return of the 737-700s. In addition to that, there were some impacts, and this is more difficult to quantify, but there were some impacts. So in addition to the $7 million, there were some impacts in the operations during the month of December because of the cutover of the -- of LAN Columbia's systems to the systems of LAN Airlines.
Alejandro de la Fuente Goic: Yes, it seems that we are investing a lot in Columbia, and we are going to harvest all these investments next year, probably. Think about the -- [indiscernible], how many people we send there, plus we are preparing pilots for the new A320s, moving into the newer fleet to be more efficient. So we did some investment that we are planning to harvest next year, for sure. This year.
Daniel Spilberg: My second question is related to the rationale on revising the synergy's guidance upwards at this moment. If I understood you, that was based on the consultant's studies, preliminary studies. Why not wait until you sit down with them after the deal completion and then revise based on the combined management expectations?
Gisela Escobar: Well we started approximately 3 months ago, a process of reviewing the original estimate of synergies, and basically LAN and TAM in conjunction with our respective consultants, and this was because the original estimate of synergy had been done before we announced the transaction. And as such, it was a fairly dated estimate. So once we completed the evaluation and we had the new estimate, we had to basically update the statement. There will be, of course, ongoing revisions once we start working together and we start to see, perhaps, new opportunities. But this is the figure that we have at this time, and therefore we had to disclose it.
Operator: [Operator Instructions] Your next question comes from the line of Savi Syth of Raymond James.
Savanthi Syth: Just if we can step back to that LAN Columbia and you might have answered this.  I wasn't too clear. In 2011, could you parse out the losses related to just regular operations versus the one-time and rebranding efforts?
Gisela Escobar: Well, as I mentioned before, the -- there is specifically $7 million related to one-time costs that were recognized in the fourth quarter of those $21 million. Those $7 million are basically payments to third parties.
Savanthi Syth: You said this -- and maybe for 20 -- if you could just look at 2011 and tell me the one-time, as well as the rebranding costs, and I was wondering if you could parse that out as well?
Gisela Escobar: Well, for the full year, it's basically similar. We haven't made a specific breakdown of the -- in the full year, the operating losses of LAN Columbia was $52 million. But of course, and as Nicolas mentioned, a significant part of that is just invest -- just a higher operating cost that the company because of investments that are being made in terms of training of personnel, in terms of marketing, in terms of crew training. And another cost just associated to get the company to the LAN standards and to establish the basis for future profitable operation.
Savanthi Syth: Okay, and then just a follow-up to that. So that as you look to 2012, I know you mentioned breakeven, but how is the progression as you go through the year on the loss side?
Gisela Escobar: Definitely stronger towards the second half. So that it will be. . .
Alejandro de la Fuente Goic: Yes, we expect to have the big deal on the second semester. But being conservative, we are announcing that we obtained a breakeven in the second half and especially on the high fix and we are working on it now.
Savanthi Syth: Sorry, I guess as we look at 1Q and 2Q, then we should expect maybe a couple million dollars losses or?
Gisela Escobar: We should still expect -- yes, losses in the first half and a profitability...
Alejandro de la Fuente Goic: No, very close to 0, but a very few losses on the first quarter but nothing [indiscernible].
Operator: Your next question comes from the line of Nic Sebrell of Morgan Stanley.
Nicolai Sebrell: Thanks for taking my follow-up question which has to do with Aeroparque and the operating limit changes that happened there. Has there been any impact from that, that you can discern in terms of the operations? Or the flights that you had to switch from Aeroparque to Ezeiza were a non-event? And then, looking forward, it seems like the government is pretty protective of Aerolineas. Do you think they might do anything else or there might be any further obstacles, not just for you, but anybody that competes against Aerolineas?
Alejandro de la Fuente Goic: Yes, okay, Aeroparque was a small shock. Only we see -- and you'd see it's a small operation for us, 3 out of 10 flights going from Santiago going to Aeroparque there. There are 7 that are going to Ezeiza. So we've been able to keep the 3 flights moving to Santiago so everything is equal. We canceled the 2 flights going to São Paulo, but it's really tiny for us. So the only obstacle here is like immediate moving of pieces of operation, people. So no, not a big deal for us. Looking forward, the way Argentina handled this is a little bit uncertain. Playing sometimes against us, but also against other competitors, so we don't see big any impact here. Only few operational issues in the very, very short term due to the...
Operator: [Operator Instructions] I'm showing no further questions at this time. I would now like to turn the floor back to management for any closing remarks.
Alejandro de la Fuente Goic: Thank you again for joining us today. Please feel free to contact our Investor Relations department if you have any additional questions. And we look forward to speaking with you again, so thank you very much, and goodbye.
Operator: This concludes today's Fourth Quarter 2011 Earnings Conference Call. You may now disconnect.